Operator: Good morning, everyone. Welcome to Vext Science’s Third Quarter 2022 Financial Results Conference Call. As a reminder, this call is being recorded on November 17, 2022. [Operator Instructions] I would now like to turn the call over to Jonathan Ross. Please go ahead.
Jonathan Ross: Thanks, operator. Good morning, everyone and thanks for joining us today. Vext’s third quarter 2022 financial results were released this morning. The press release, financial statements and MD&A are available on SEDAR as well as on the Vext website at vextscience.com. We would like to remind listeners that portions of today’s discussion include forward-looking statements and the forward-looking statements are included in today’s press release. There can be no assurance that these forward-looking statements will prove to be accurate or that management’s expectations or estimates of future developments, circumstances or results contained therein will materialize. Risks and uncertainties that could affect future developments, circumstances or results are detailed in the MD&A and Vext’s other public filings that are made available on SEDAR and we encourage listeners to read those risk factors in conjunction with today’s call. As a result of these risks and uncertainties, the developments, circumstances or results predicted in forward-looking statements may differ materially from actual developments, circumstances or results. This presentation also includes non-IFRS financial information and such non-IFRS financial measures are subject to the disclosure and reconciliation included in our press release disseminated yesterday. Forward-looking statements made during this conference call are made as of the date of this call. Vext disclaims any intention or obligation to update or revise such information, except as required by applicable law. Vext’s financial statements are presented in U.S. dollars and the results discussed during this call are in U.S. dollars. I will now pass the call over to Eric Offenberger, Chief Executive Officer of Vext.
Eric Offenberger: Thanks, John. Good morning, everybody and thank you for joining our quarter three 2022 financial results conference call. I am joined on the call today by Stephan Bankosz, CFO of Vext. I will provide a brief overview of our results before turning it over to Stephan for an update on our financial performance. During the third quarter, our team continued to execute against the backdrop of a very challenging environment for most consumer-facing companies. Revenue was down compared to the same quarter last year and compared to quarter two of 2022. Quarter three is historically our slowest quarter due to weather, vacation timing, and kids getting back to school. However, the drop in sales on a sequential basis goes beyond seasonal weakness and points to a shift in consumer behavior as record high inflation continues to impact consumer spending across industries. Within this context, our team drove 60% adjusted gross margin in the quarter by maintaining an emphasis on value-focused products, rapid innovation and targeted promotions to generate traffic, which enabled us to mix back and build basket in the context of the market. In Arizona, there was sustained economic pressure on the consumer, with Phoenix continuing to record the highest rate of inflation in the country, averaging 13% through September 2022. Additionally, the state reported that recreational sales had plateaued since reaching a record high of $81.2 million in April, while the medical market continued to shrink. Arizona isn’t the only state facing challenges in the environment. You have to remember that consumers can’t buy cannabis on credit. Consumer borrowing has reached record heights and increased by 7.4% in the third quarter alone. This is a double-edged sword for cannabis operators where they can’t accept credit and consumers are faced with mounting debt service costs. The sector phased very well through COVID, but a steep drop in discretionary cash has been putting the industry to the test. The wholesale side of our business was down as well as other retailers had just lowered consumer spending in the short-term and look to start more of their own product as the market gets more competitive with an increased focus on margins. As experienced operators, we continue to look for efficiencies. Adjusted EBITDA came in flat for last year and lower than quarter two. We produced margins of 43%, down 12.6 percentage points versus quarter two of this year. Given the macro backdrop, we see this as acceptable short-term performance. Vext’s proven track record of execution and culture of operational excellence positioned the company well in the context of the tough market. Companies that can promote effectively and offer consistent selection quality and value to the customer will foster enduring loyalty. This is exactly how Vext’s portfolio is positioned in the market. From a sales perspective, despite quarter three being our historically slowest quarter, we consistently brought crap into our stores, given their strategic locations in targeted promotional activities. We recognize that selection and pricing tiers are extremely important in today’s economy. Vext has a proven ability to innovate and bring products to market that customers want at solid price points. During quarter three, we released an all-new range of Halloween edibles and dessert style THC-infused toppings that were received well by consumers. We continue to focus on product development in our marketing and through innovative in-store promotions as well as emphasizing impulse purchase items below the basket size. From a cultivation perspective, we are also well positioned. The expansion of our Prescott facility has been totally absorbed by our current vertical operations. We are currently awaiting the certificate of occupancy to go live with Phase 1 of Eloy. Once this additional cultivation capacity comes into play, we won’t have to rely on the market for any material flower purchases at our current retail base. We expect to receive certificate of occupancy before the end of the year. In the meantime, we have been able to do some creative deals, leveraging our processing capacity to do some contract manufacturing. The expansion plans of our retail and manufacturing footprints remain on track. Our discussions are ongoing with the City of Phoenix to expand our Central Phoenix dispensary to 5,000 square feet and they add another 6,000 square feet of manufacturing to our current operations in the city. We are currently awaiting to use permit and once complete, both these builds will support the growth of our wholly owned Vapen products as well as our third-party partner brands. The timing of these initiatives is based upon permitting as well as improvements in the economy. Turning to Ohio, as I have noted on our past couple of calls, we have emphasized the potential of the state and see it as our next big leg of growth. Ohio has exhibited better supply demand dynamics than many other markets, including Arizona. Given its structure and stage of development, during 2022, Ohio’s medical cannabis sales surpassed the 1 billion mark since going into effect in 2019 exceeding projections. The state saw 44% increase in the number of patients with active recommendations and active registrations over the past 12 months according to state data. This growth in addition to the state’s highly regulated vertical structure and potential for future transition to adult-use makes it a very attractive market. Earlier this month, we announced that in association with our joint venture partner, we have received all necessary approvals and are fully funded to build out an initial cultivation area of up to 25,000 square feet, with the potential to expand up to 50,000 square feet. The first harvest of this facility is expected to be achieved by the first quarter of 2023. As a reminder, we are also granted ownership of an operating manufacturing facility in Jackson, Ohio through JV, which continues to support the stocking of Vapen brands on over 95% of the dispensary shelves in the state. We are also progressing with our plans to establish a retail foothold in Ohio. As noted previously, we are in the process for applying to the State Board of Pharmacy for a licensed transfer of a cannabis dispensary in Columbus, Ohio to a JV that will be setup immediately after approval. We anticipate receiving it by the end of the first quarter of 2023. We continue to be on the lookout for other attractive opportunities to expand our retail footprint and subsequently our market share in Ohio. In closing, I will reiterate that while the overall market environment will remain challenging for many operators, Vext track record of constantly innovating in their offering a broad range of value-priced products has made Vapen one of the Arizona’s top brands. We also continue to view Ohio as a key growth opportunity and look forward to expanding our offerings in that state. With an unwavering focus on delivering profitability and cash flow, Vext has the foundation to grow in this environment with an eye to driving returns and shareholder value. With that, I will now pass the call to Stephan for a quick review of the financials. Stephan?
Stephan Bankosz: Thanks, Eric. As a reminder, the shift to a for-profit model as of quarter one 2022 makes direct comparison as the prior year period is more challenging until we lap that event in quarter one 2023. Revenue during the quarter was $7.7 million, a 12.5% decrease compared to Q2 of 2022 and lower compared to $9.4 million in quarter three of 2021. Gross profit, before the impact of biological assets, was $4.6 million in quarter three. This compares to a gross profit of $4.1 million in the prior year period and adjusted gross profit of $6.5 million in quarter two. Adjusted gross margin was 50% in quarter three compared to 75% in quarter two. Adjusted EBITDA margins for the quarter were 43% in quarter three as compared to 55% in quarter two 2022 and 37.5% in quarter three of 2021. Operating expenses were up in the quarter versus last year and versus quarter two. However, I’d like to note that stripping out non-cash items and interest cost, core cash operating expenses were down compared to quarter two, which means we are still being effective in driving efficiencies in the business even in this environment. Cash flow from operations came in at negative $0.9 million during quarter three. Biological asset recording and a reduction in sales for the reasons Eric outlined are the primary drivers here. We actually ended the quarter with $12 million in cash at September 30, 2022 adequate to execute our business plans. Earlier this month, we announced a refinancing of the company’s existing $4.4 million principal amount of 10% secured non-convertible debentures that were coming due at the end of December 2022 $11.25 per share subordinated non-convertible debenture maturing in December of 2027. This refinancing gave us additional room on the maturity front as we continue to execute our growth plans at an attractive cost of capital. Thanks everyone for joining us for our quarter three financial results conference call. I will now turn it over to the operator for your questions.
Operator: Thank you, sir. [Operator Instructions] Your first question will come from Russell Stanley of Beacon Securities. Please go ahead.
Russell Stanley: Good morning and thank you for taking my question. Maybe first on Arizona, I just wanted to – maybe a little more color on the manufacturing contract, manufacturing business. The extent you say what contribution to made in the quarter and relative to the Q2 levels, and just a better understanding as to how much visibility you have on this revenue source going forward.
Eric Offenberger: Good morning, Russ. Thanks. As far as like how much it contributed and stuff like that, we don’t really quantify it, we know kind of what the sales dollars were on it. And it’s not a material amount, the issue really isn’t the top line on it is what it does to the bottom line. So since it’s basically a labor component, it has a great margin and a great return for us. But it also helps cover some of the fixed expenses and always allowed us to drive more efficiency into the operation. So we think it’s still beneficial and we think it’s going to continue. The other aspect I would say of it is a lot of people have what they consider to be their brand, or their special thoughts. And as you enter into the market into cannabis with the licensing requirement that we find a lot of people still want to come into the marketplace. So from our perspective, if we’re just manufacturing and don’t have the commercial responsibility, that why not take advantage of it. So we think it’s going to continue to grow. We have some longer term supply commitments with people that are going to last for the next 12, 18 months. And the team does a really good job performing. So we see it as a enhancement to the business, not necessarily a segment that becomes, a major driver. But it definitely helps with the margin.
Russell Stanley: Got it. Thanks. So now maybe moving to Ohio, not sure where you can say on this, but can you comment I guess as to how the dispensary in Columbus is performing. And you noted the supply demand dynamics there being stronger given Ohio still medical when we have – would you characterize the customer and a basket size and at that store, I guess against what you would see at the two stores in Arizona? Thank you.
Eric Offenberger: Yes, I don’t have any insight, obviously, to the exact basket size, or the customer makeup in that store at this point in time. But at all – what I do know is on the top line, it continues to grow every month, month-over-month. It’s performing well. It generates its own cash. We don’t have to put any cash infusion towards it or anything along those lines. So, those are all positives, it’ll throw off cash. So we’re really excited that, what I see in Ohio, and we’re really extremely excited that we have plants in the ground in the cultivation. So we actually have rooms planted out there, we’re – we should plan to be in full capacity by early second quarter next year. As we’ve talked about, in the call so far, that we’re going to have our first harvest sometime in the first quarter or anticipating sometime in February, we continue to see a strong demand in Ohio, we continue to see strong pricing that is better than you’re seeing in Arizona, or any of the more mature markets. And I think that’s the case that everybody, all the calls so far this, this earnings cycle is indicated the same thing that there’s margin pressures in most of the developed markets, so very excited about it, very happy about store. Seasonality, I think December will be a little bit of a tougher month as everybody tries to move into their year-end inventories. But we’ve seen a rebound in average basket size in Arizona, in the fourth quarter, like we do every year coming out of the summer heat. So we anticipate that to continue to be the case.
Russell Stanley: Great. I mean, maybe if I could sneak in one more get back into queue, in Ohio, you mentioned looking for more retail and just wondering the extent you can say whether your preference is for existing stores, or undeveloped retail licenses or a mix of both any color you can provide on how you’re thinking about that?
Eric Offenberger: I don’t think there’s a lot of existing stores out there that haven’t already been accumulated into a group. So if you look at the existing, there is not a lot of them out there. So you’re probably looking at one of the new licenses that are coming online. And there’s a lot of them being shocked, people end up getting the license, and then they won’t realize they don’t know how to do the cannabis or what they have to do in the way Ohio is structured, it’s not a vertical license, you now have to worry about your supply. And then there’s a capping system within Ohio. So some people are already at the maximum cap. So they’ll provide opportunities. So I think you have to look at those and see which ones make the most sense. From our perspective, what we do is really quite simple. We just focus on getting done what we have in front of us, and continuing to build the structure. So the company supported on the philosophies really, build a big company that is ran well and stuff like that, and the opportunities will present itself and you’ll be able to get the funding you need to grow or to whatever the strategy becomes within that market that are presented. That said, in Arizona, you are seeing a lot of the social equity licenses trying to be sold now. I see lists all the time of people wanting to sell them and you are seeing that price decline. I don’t think it’s at the bottom yet. And then yesterday, I think it was yesterday that the state came out and they have got a new round the medical licenses that they are going to do medical on like, which continues to make two existing licenses. We have, I think more valuable because there is the dual license and they are the original and there is not going to be anymore of those types of licenses at this point in time. So that cap continues to make it and you are continuing to see municipalities more difficult on permitting, saying they have got enough permitting and Arizona’s population continues to grow. So I think that’s great and I – same thing with Ohio. If you really look at it for us, Intel has also announced that they are going to do build the largest semiconductor plant in the world in Columbus. So if you look at that build and you look at the build in Arizona, I think that those two markets for us right now have good economic drivers into the future. It’s going to continue to put capital and population in those states as things relocate and people move from the East Coast and the West Coast are moving to those types of states. So that bodes well for us.
Russell Stanley: Thanks. That’s great color. I will get back into queue. Thanks, Eric.
Operator: Your next question comes from Andrew Semple of Echelon Capital Markets. Please go ahead.
Andrew Semple: Good morning. Thanks for taking my questions here.
Eric Offenberger: Good morning.
Andrew Semple: First one me, I just want to ask so far in Q4, are you seeing any relief on consumer spending with the modest easing in inflationary pressures or do you think we need to see a larger decline in inflation before that happens? I guess what I am trying to get at is your perspective on how sensitive the consumer is to inflationary pressures, whether that’s sensitive to minute moves or we need to see something larger?
Eric Offenberger: Yes. Well, that’s the million dollar question, Andrew, because I have talked a lot about this, I follow retail quite a bit and I view the cannabis stores as nothing more than specialty retail stores – specialty retail operations. So I really watch like what’s Bed Bath & Beyond doing? Kohl’s is out today. So I really watched that. So I think the consumer still has some tight spending patterns and are going to be tougher. The thing I’ve been focusing on a lot more and we kind of covered it a little bit in our opening comments is the consumer debt that’s starting to make me a little bit cautious for 2023, that consumers have not really taken the impact yet of inflation. And they have been using revolving credit. And you can see it in the numbers reporting. With the interest rates moving up, I think the Fed is up 3 basis points so far this year and continuing to move that they are not paying off that credit card. So that’s a revolving. And that’s going to continue to put tremendous more pressure on their demand. So that said, I think that it’s going to be challenging for the consumer. So what’s that do that means you’re going to have to continue to drive down prices, I think we talked about this on a couple calls before, that you’re going to see some rising input costs that have been there, and a more pressure on the price point. That’s why when we talk about what retail is doing, and how you’re buying in the wholesale market and stuff, I think the wholesale is going to still be a really challenging environment, I think that’s going to be the biggest challenge you’re going to see. In the stores, you’re seeing the same basic consumer impact, I think consumer count was down to 2% in the stores in the third quarter, which isn’t bad, but the average basket size is down 15%. So, you’ve got that dichotomy going on. So I think there’s still going to be pressure, they’re still going to come in, you better be creative in how you do your price point and it’s basic business, it’s all about inventory management, don’t fall in love with this stuff, get it sold, get it moved. That’s it. 
Andrew Semple: Great. That’s helpful. Appreciate that, Eric, and maybe just under kind of last comments about being creative, and to get to get product moving, I guess, have you felt that Vext’s needs to do anything to update its brand portfolio with the changing market conditions? There’s been a number of, I guess, the peers out there in the market that have been moving their brand portfolios more towards a kind of good, better or best model. Do you think there’s room for Vext to maybe increase the differentiation between its brand portfolios, launch a more value, focus brand and increase its offering across more formats. And try to really differentiate the better and best kind of brand tiers within your product portfolio.
Eric Offenberger: Yes. We have actually been starting to do that the way we are doing it, Andrew. And again, because it takes us a little bit more time to do certain things because we want to think through it and be thoughtful about how we do it. But we have kind of always identified the Vapen brands to me. I have always looked at Vapen as like the target brand, if you would, where it’s good quality, excellent price points for the consumer consistent. Vapen distillate was the first distillate brand in the market in Arizona back in 2014. So, we have been doing this for quite a while and have high standards of our quality and testing and stuff. And we have always identified that as the everyday consumer brand that you can go to, it’s trusted, it’s a good price point, it’s good quality, it’s like going into the grocery store and buying the consumers label, or the brand label, store label. So, we have always viewed it that way. Then we have recently been introducing what we are calling the Vapen Black category or the big Vapen Black, where we are positioning that is that’s one of a connoisseur brand, or the connoisseur quality for a moderate price. So, I don’t really see us moving into a high price tier. I just don’t believe that, that market is that strong, or it’s going to differentiate enough where it really – that you really gain that much from it. What we are doing in the Vapen Black is that’s what we are doing the live resin products. We are doing, cannabis derived terpenes and stuff like that. So, we are making that differential. So, one big change we need to make in the brand that we are working on right now actively is to rebrand the edible brand and take it away from like the Vapen brand. That makes the edibles a little bit different. We have been doing some different development within the – in the edibles. So, with that it’s you need to remember that the science part of Vapen Science or Vext Science isn’t just some tagline we use for marketing. We actually have organic chemists on staff and people with that type of a background on staff. And have recently filed a patent again with ASU in conjunction with ASU. So, they are working on a motion technologies in different ways to make the experience for somebody on the edible. So, I think in the first quarter or second quarter, you are really going to see a different emphasis on some of the products and we have a new marketing approach with that to try to expand the base. Because I think if you look at population, x amount of population uses cannabis and those are going to continue to use cannabis. It’s more of how do you expand that base not keep trying to slice up the same five people into different things. But how do I get the seven and that’s what we are trying to look at right now. And that’s really come to us for Ohio, because that’s really new. It’s how do you get people energized.
Andrew Semple: That’s great. Appreciate the color there, Eric and I will get back into the queue.
Eric Offenberger: Thanks Andrew.
Operator: [Operator Instructions] Your next question will come from Colin George of Haywood Securities. Please go ahead.
Colin George: Good morning Eric. How is it going?
Eric Offenberger: Good. Good morning, Colin.
Colin George: You kind of answered a bunch of the questions already. I just kind of want to dive into that Arizona seasonality a bit more and what you have seen so far into there. You started Q4 as some of these snowbirds come down and the population kind of ticks up in Arizona. Is it purely just transaction based that increases, or are these basket sizes increasing as some of these people traveled to their winter homes, I guess maybe less impacted by inflation?
Eric Offenberger: Yes. I think that’s – I think it’s all of the above. It’s the basket sizes are increasing, because the population is increasing for that winter traveler. It’s not the impact that it used to be, 20 years ago in the valley. But it still has an impact. And you can see it. I also think the other thing is, when we talked about on the call is we really are focused on the re-emphasis. How do you sell and how do you market. So, one of the things we have recently done is I have made the comment earlier that we approach it as a specialty retail. So, I went out and with the team, we hired somebody from Bed Bath & Beyond to run one of the retail operations. So, to start thinking about the merchandising within the store, and how you are doing it – Bath & Body Works, I am sorry. And how you do in merchandising and how you do in-store manager specials and how you approach that type of thing, for what’s going on in that particular demographic. So, I think that’s helping, and there is being awareness of up-selling. So, yes, you guys have seen this for years, because you have been following it. People had the idea and the mindset, oh, it’s cannabis, people are going to want the product, I really don’t have to have good business practices or good retail practices or anything like that. And the economy changes, and now everybody is scrambling. So, we are faced with that. You see billboards all over with somebody lowering the price here or lowering the price there. It’s probably not driving a lot of customers, but it drives a lot of conversation that you have to be aware of when you are pricing your product and your source.
Colin George: Okay. Thanks. That’s helpful. Maybe just one more for me, it might be a bit of a crystal ball question. But just maybe some of your thoughts or anything you guys are hearing in terms of the Ohio market. I think there was about five municipalities that passed the legalization. At the mid-term here, there is all rumors of hope maybe being attached to the safe, which is Joyce’s bill, a Republican from Ohio. Do you think there is a possibility that the legislature in that state would consider legalization in a way that Illinois did or is it likely going to be a 2024 initiative that’s going to have to come to the Senate and getting it on the ballot.
Eric Offenberger: I will either look in the mirror or look at the screen for Jon’s bald head or mine to see which one is going to give me the reflection. But my two senses are pretty straightforward. I think you just saw Ohio vets who have votes, so it’s going to still stay relatively conservative in its approach. So, my guess is that there is some pending legislation in Ohio that is to look at trying to move, right now you have commerce and you have pharmacy that regulates it, nothing sets over the top. I think there is legislation to try to make it one unit, which would then give it some – give you the ability to do a little bit more advertising or marketing within that market. And it would make it easier for people to have the medical program expand. I think they will go that way first, and then potentially, in ‘23, there might be a boat to do a little bit more. But in ‘24, I think they will go towards a recreational boat. And I think it has legs to pass as long as the industry continues to operate well in that market, and it seems like it’s doing it. So, yes, I think that’s going to happen. That said, I think that it’s going to probably go a little bit like Illinois, but I don’t think it’s going to go to that whole sense. They really have done a good job of keeping cultivation and the best way I can describe it colonists. I grew up in the Midwest in farm communities and farmland. And every year I remember it was either soybeans were, corn aside, and you plant the crops, and then everybody have an overabundance of stuff. And you would have to get a Federal subsidy, or it would sit in the silos and the grain bins recall, and all that kind of stuff. And that was the rural setting of agriculture. And that’s how I grew up. And when I worked for land, similar type of thing. Now, when I watch cannabis, I will be damned. It’s the same thing, everybody, they are going to grow the best of this crop and this crop is right. And they are going to grow a bunch of it. And now you have abundance of all this stuff. And what do you do with it. Well, if you are not vertical, it’s really a challenge, because where does it go. And if you over produce, what you can run through your store and that vertical mile really fits well, a lot of states like Arizona, have allowed these populations to become so abundant and so high, that’s why it drives that wholesale price down and everything. So, I don’t think Ohio is going to make that mistake. And I think Illinois has done a pretty good job in that regard so far too that will continue to keep that state’s tax base up. So, I think it’s really in the benefit of the state for them to control that input or that raw material piece on the cultivation side, so that they don’t end up in the silver abundance, which actually drops their transactional pricing and their tax revenue. Because remember, it’s always based upon the sales price in most of these states. So, they are seeing an impact on their taxes that they are taking in and it’s yes, it’s a bad model when you are in a state that doesn’t do that. So, I am comfortable that Ohio is not going to make that mistake.
Colin George: Okay. I guess that makes sense that they would move a little bit, maybe not slower, but more in incremental steps as they are kind of looking to roll out the next wave of dispensaries and just the way the cultivation license is set up with an initial 25,000 before you can double it down the road. But I guess yes, that some of the…?
Eric Offenberger: Now, we have been talking about this Colin on the call, and we probably should give you some color on this. That’s one of the advantages of our Tier 1 with our partnership out in Ohio, is that that facility is large enough that it could support up to probably 100,000 without really having to do much of double stacking or anything along those lines, going up, which I am not a big fan of ever getting people off the ground. I don’t like the safety aspects of it and stuff. But without having to do that, that facility to do that, we think that’s an advantage to us to be able to continue to grow because I know the license is tied to a physical address. So, it’s not like okay, I outgrow the 25. Now, I would try to find another building and rebuild everything. I am in the facility that will support that type of a growth pattern. And it supports my manufacturing. It’s a ton, 113 acres was originally a mushroom plant years and years ago for Campbell’s and stuff. So, it’s really geared for agriculture, indoor and controlled agriculture. So, it’s perfect and we couldn’t have been happier about that building in that facility. That was really a big thing to us 4 years ago when we went into this JV.
Colin George: Okay. That’s helpful. And I think that answers all my questions to the straightforward quarter from you guys. Nice to see the margins holding pretty strong and despite the seasonality in the market. I will pass it on here. Thanks Eric.
Eric Offenberger: Okay. Thank you.
Operator: Ladies and gentlemen, there are no further questions from the phone lines. And this will conclude your conference for this morning. We would like to thank everybody for participating and you may now disconnect your lines.